Operator: Thank you for standing by, and welcome to Microvast Fourth Quarter 2023 and Full Year Conference Call. [Operator Instructions] I would now like to hand the call over to Microvast Investor Relations. Please go ahead.
Unidentified Company Representative: Thank you, operator, and thank you, everyone, for joining us today. With me on today's call are Mr. Yang Wu, Founder, Chairman and CEO; and Mr. Craig Webster, Chief Financial Officer. Mr. Wu will start off with a high-level overview of the quarter before providing some operational updates. Mr. Webster will then discuss our financials in more detail before handing it back to Mr. Wu to address our first quarter '24 outlook and opening the call up to questions. Ahead of this call, Microvast issued its fourth quarter and full year 2023 earnings press release, which can be found on the Investor Relations section of the company's website ir.microvast.com. In addition, we have posted a slide presentation to the website to accompany management's prepared remarks. As a reminder, please note that statements made on this call are forward-looking and based on current expectations and assumptions. They should not be relied upon as representative of views for subsequent dates, and we undertake no obligation to revise or publicly release the results of any revision to these forward-looking statements due to new information or future events. Actual results may differ materially from expectations due to a variety of risks and uncertainties. For more information on material risks and other important factors that could affect our financial results, please refer to our filings with the SEC. We may also discuss non-GAAP financial measures during this call. These measures should be considered in addition to and not as a substitute for or in isolation from GAAP results. These non-GAAP measures have been reconciled to their most comparable GAAP metrics in the tables included at the end of our press release. After the conclusion of this call a webcast replay will be available on the Investor Relations section of Microvast website. And now I will turn the call over to Mr. Wu for opening remarks.
Yang Wu: Thank you. And thank you all for joining us today. Please turn to Slide 3 as I cover a few highlights from our full year 2023 financial performance before turning to our key achievements in Q4. I'm pleased to say that we broke the record revenue of $306.6 million for the full year 2023. This was driven primarily by substantial year-over-year revenue increases in our EMEA business, which grew revenue 434% compared to 2022. We also saw double-digit percentage growth in both APAC and China. The overall business saw a top-line increase of 50% year-over-year, and we delivered this strong revenue performance at a high gross margin, which increased to 90% from 4% in the prior year. I'm also very pleased with the results from our Huzhou 3.1 expansion that was completed during the year. Starting in the second half of 2023, we were delivering qualified products to our diverse customer base from our latest fully automated production line. This demonstrates that we can successfully industrialize our technology at scale. Please join me on Slide 5 to go over our successes in the final quarter of the year. Along with some challenges that we also faced, we saw our highest revenue quarter of $104.6 million, jumping 61% year-over-year, and we achieved an adjusted gross margin of 23.5%. We saw major successes in our commercial vehicle business, expanding relationships with OEMs worldwide. We are working with new manufacturers on testing our products for additional contracts in 2025, and we have begun to gain meaningful traction in specialized and differentiated vehicle segments. However, the year also brought challenges. We saw a challenging financing environment, a reduced energy storage contract through mutual resolution with the customer, and an overall negative market sentiment in both the sector and for rapid growth companies like ours. Turning to Slide 6, we have made some exciting business developments in our commercial vehicle business. We received many new orders and delivered to customers a variety of products, showing the strength of our technology portfolio. This included leading OEMs such as [indiscernible], LGMG, and Yongxing New Energy. Please join me on Slide 7 to go over some updates around our APAC operations. As I mentioned in the opening, our Huzhou Phase 3.1 automated line has been successfully brought online, is producing qualified 53 point amp-hour cell, and the products are being delivered to customers. We do not expect significant additional CapEx associated with Phase 3.1 going into 2024. The APAC business generated revenue of $290 million in full year 2023, increasing 18% year-over-year. We anticipate that the APAC business will generate original profitability as operations are now mature, self-funding, and achieving sustainable growth margins. We also expect further revenue expansion year-over-year. Our expectations are driven by two major components. First is the market in China, where we bring in stable revenue from our established base of e-bus OEMs. But we are also seeing promising expansion opportunities in the electrified mining and earth-moving segments, where our high-power products offer performance advantages. The second major contributor is the Indian market, where the e-bus segment is growing rapidly and is supported by government incentives, which some of our major partners expect to benefit. Turning to Slide 8, we will go over some updates around our EMEA operations. We saw electrifying growth in 2023, with the regional revenues up more than 434% year-over-year. We have localized the production of our [VBA] modules and anticipated customer demand will lead to increasing volumes. We also expect additional revenue growth in the region of 2024. Having narrowed our losses in 2023, we also have our sights set on regional break-even for the coming year. In addition to a developing pipeline of new and exciting commercial vehicle customers, we see several catalysts for continuing growth in 2024. One of those is higher expected volume from e-bus and LCV platforms. As we are seeing continual expansion and demand in the segment, we are also seeing segment demand and are working with the leading refueled truck OEM with a demo expected at IAA 2024. Finally, join me on Slide 9 to go over some updates for our U.S. operations. The challenging financing environment means that for the time being, we have got a Clarksville as far as we can on our own balance sheet. Because of this, regional growth and profitability in APAC and EMEA will be the key drivers for our business in 2024 until the third-party financing needed to complete the Phase 1A facility has been secured. Accordingly, we are not currently anticipating material production volumes or revenues from our Clarksville facility. We are also not expecting IRA 45X credits in 2024. Once we are able to secure financing, our current estimate is that an additional six to eight months is needed to bring Clarksville Phase 1A to SLP. With the majority of this time allocated to equipment installation, in the interim, we will be slowing paypacks and OPACs spend in the U.S. This slowdown will allow us to better manage liquidity, evaluate financing opportunities, and build out our U.S. operations for substantial success in 2025. Once we reach SLP, we anticipate generating IRA credits and delivering qualified products to commercial vehicle and energy storage customers in the U.S. The lack of funding in the U.S. has contributed to our assessment. There is currently a substantial doubt that we can continue as a growing concern without raising additional capital. And we are engaged in financing and customer activities to address this urgently. However, we remain bullish on the U.S. and the opportunity it presents to our business. The energy storage market continues to be an area with exponential growth. And there is significant customer interest in our Clarksville capacity, given the advantages in security, battery supply that meets domestic contents requirement. On the commercial vehicle side, OEMs are increasingly electrifying their vehicle line UPS. We see demand for our varied technology across a wide area of segments and have numerous projects underway that we anticipate will create a demand for Clarksville production in 2025. So, 2023 was not without challenges. It was also full of successes, and we are proud of our achievements in the last year. We are looking forward to executing on the many opportunities ahead of us in 2024. I will now turn the call over to Craig Webster to discuss financials in more detail.
Craig Webster: Thank you, Mr. Wu. I'll spend the next few minutes discussing our full year and Q4 2023 financial results. Please turn to Slide 11, and I will summarize the main line items from our Q4 and full year P&L. We recorded revenue of $104.6 million in Q4 2023 compared to $64.8 million in Q4 2022, a 61% year-over-year increase, and as Mr. Wu mentioned earlier, a record revenue quarter for the company. On a full year basis, despite facing several challenges, we achieved revenue of $306.6 million, up 50% from $204.5 million in the prior 12-month period. We posted gross profit of $23 million in Q4 2023, compared to gross profit of $2.2 million in Q4 2022, a 934% improvement. On a full year basis, our gross profit was $57.2 million, compared to a gross profit of $9.1 million for the prior year, a 531% improvement. Our gross margin for full year 2023 was 18.7%, whereas in the prior year it was 4.4%, a 14.3 percentage point improvement. Operating expenses were $46 million in Q4 2023, compared to $37.3 million in Q4 2022. The largest contributor to the increase in operating expenses was the increased headcount for both our Colorado and Tennessee facilities as we build out our U.S. operations. Full year 2023 operating expenses were $165.9 million compared to $170.7 million in the prior year, a 3% decrease. GAAP net loss was $24.6 million in Q4 2023, compared to net loss of $33.7 million in Q4 2022. GAAP net loss for full year 2023 was $106.4 million, compared to a net loss of $158.2 million in the full year 2022. These results show that as we scale our business and industrialize our technologies, we are narrowing our losses. We believe a more appropriate representation of our financial performance, especially as it relates to cash operating expenses and operating loss, is as illustrated in Slide 12. After adjusting for non-cash settled share based compensation expense in our cost of sales, adjusted gross profit was $24.6 million in Q4 2023, compared to adjusted gross profit of $4.2 million in Q4 2022. This translates into an adjusted gross margin of 23.5% in Q4 2023, compared to 6.4% in Q4 2022, a 17.1 percentage point improvement. We're pleased to see another quarter of gross margin improvement as our business benefits from higher sales volumes, increased utilization, and better raw materials pricing on these higher volumes. When making the same adjustments for full year 2023, our adjusted gross profit was $63.3 million, compared to an adjusted gross profit of $16.8 million in full year 2022. This translates into an adjusted gross margin of 20.7% in full year 2023, compared to 8.2% in full year 2022, a 12.5 percentage point improvement. After adjusting for non-cash SBC expense in SG&A and R&D, our adjusted operating expense in Q4 2023 was $34.3 million compared to $21.4 million in Q4 2022. When making the same adjustment for full year 2023, our adjusted operating expense was $107.1 million, compared to $96.5 million for full year 2022. This was an 11% year-over-year increase, being a much slower rate of increase than our top line growth of 50%. After making those non-cash SBC expense adjustments and accounting for changes in fair value of our warrant liability, adjusted net loss was $11.4 million in Q4 2023, compared to $15.9 million in Q4 2022. On a full year basis, adjusted net loss was $41.6 million in full year 2023, compared to $77.3 million in full year 2022. Reconciliations of these non-GAP metrics to the most comparable GAAP metrics are included in the table at the end of our earnings press release. Slide 13 shows the geographic breakdown of our revenue for the 12 months ended December 31, 2023, compared to the prior year period. As you can see, our three largest markets were Asia Pacific, China, and EMEA growing 19%, 18%, and 434% respectively, year-over-year. Revenue in our U.S. region for full year 2023 posted a slight decline of 14%, compared to full year 2022, with revenue losses in our ESS division being the biggest disappointment. However, as Mr. Wu mentioned, despite some near-term financing challenges to address in the U.S., we expect our U.S. business to make meaningful contributions in the future, as we are well positioned to capitalize on the domestic content opportunity in the U.S. once our Clarksville facility reaches SOP. I will now turn it back over to Mr. Wu to provide some visibility and the outlook for the coming year.
Yang Wu: Thanks, Chris. Please turn to Slide 15. We expect Q1 2024 revenue to increase 40% to 60% year-over-year. This puts Q1 revenue guidance in the range of $65 million to $75 million. We also aim to maintain a gross margin target of between 20% to 25%. From Asia-Pacific operations, we expect all three Huzhou Phases to deliver qualified products to customers throughout 2024. We will also be targeting increasing utilization, continuing progress on R&D for new products, and targeting regional profitability. In 2024, we also expect our EMEA operations to continue meaningful revenue growth with new customer wins for specialty commercial vehicles. We are targeting regional breakeven for the year. Turning to the U.S., we plan a reduction in OpEx and CapEx spending for the year until we can secure funding for Clarksville. Once the facility is online, we will be targeting rapid growth, and aiming to secure capacity commitments, from both energy storage and commercial vehicle customers, to achieve high utilization levels. For 2024, the company's core focus is going to be maintaining revenue growth, and our margin profile as catalysts to improve our liquidity, and providing us with a road to break-even. With that, I would now like to open the call up to your questions. Operator, please provide instructions for the Q&A session.
Operator: Thank you, sir. [Operator Instructions] Our first question comes from the line of Colin Rusch of Oppenheimer. Please go ahead, Colin.
Colin Rusch: Thanks so much, you guys. Can you talk a little bit about the overall quantum of capital that you're going to need, to secure to get Clarksville back on track? And then also, how we should think about the moderation in OpEx in the U.S. and how that impacts the overall company OpEx run rate?
Craig Webster: Mr. Yang, do you want me to take that one?
Yang Wu: Yes, please. Great.
Craig Webster: Hi, Colin. Hope you're well. So as we indicated last time, we've got about halfway through Clarksville on CapEx. So to get it done, it's about $150 million. That includes some aging AP. And so, the majority of what's left to spend relates to equipment and installation. And to do that, we need to raise money, as we've always said. We got this as far as we could on balance sheet. So, we've been working for quite a period now, and you're probably sick of hearing us talk about it on the financing. And it wasn't done at the end of the year. We're still making progress on that. No guarantees that it's done, but we've been spending a lot of time with one lender in particular. The estimated timing to get Clarksville to SOP, would be six to eight months from when we close that financing. And as I just mentioned, the majority of that time is to do installation. We'd already started some installation during Q4. And OpEx wise, currently, we're managing that because we've not closed the financing. So, really, as we mentioned on the call, there's a regional focus on what we do, which is China's got really good and decent growth rate. It's profitable. It's self-financing. It's got access to its own CapEx and OpEx credit lines. Europe, as you just saw, had a really good year. The start of like electrification for a lot of its customers.' And we'd expect Europe to have another really solid year in 2024. The operating base in Europe is much smaller, because it's just a module line. Doesn't need any financing. Got a really good customer base. Does that answer your question?
Colin Rusch: Yes, it does. And then in terms of the customer growth in Europe and China, can you talk a little bit' about - you talked a little bit about the [Canton] revenue for the first quarter, but can you talk about the order activity and how that's trending versus where you were at, a year ago in terms of backlog and how those orders are going to go?
Yang Wu: Okay. The backlog impact we've had has come from energy storage. So, we've reached a mutual resolution, with a customer to reduce the volumes on their contracts. That impacted backlog. So backlog now is predominantly commercial vehicles. You know our business pretty well. So Q4 is always seasonally the strongest quarter, particularly in China where they defer a lot of their orders until the end of the year. Q1 is still going to be a really solid quarter for us. And as you know, it's always the slowest one, because of impacts of Chinese New Year. So, we lose a lot of revenue in - and so now it's February this year. The encouraging part on Europe, is the number of platforms that we're on. So it's e-bus, it's light commercial vehicles, and it's commercial truck specialty. So, we'd expect Europe to have - it's a big contribution to overall revenue growth in the year. But just looking at where we're at on the financing side, which is a key focus, we can give you a much more informed decision on the year, and what things look like in a couple of months' time.
Colin Rusch: Okay. Thank you so much, guys. I'll hop back in queue and follow-up offline. Thanks.
Yang Wu: Okay.
Operator: Thank you. [Operator Instructions] Our next question comes from the line of Sean Milligan of Janney Montgomery Scott. Your question, please, Sean.
Sean Milligan: Hi, Craig. Can you walk us through expectations for 2024, on kind of like operating cash flow? Like you highlight that you're trying to run Asia and Europe, kind of break-even or above break-even, just kind of trying to get the expectations on op cash flow for this year, and then just updated CapEx figures. If you're not spending anything for CapEx in the U.S., we're spending on that 48-amp hour line in China, and that's still fully funded via the facility, correct?
Craig Webster: Yes. So any CapEx spend in the U.S. is going to be completely contingent on raising financing to do that. So if we are successful to close, then we'd expect to spend around $150 million in the US. That's Clarksville Phase 1A debt funded. And CapEx elsewhere would be very, very minimal. China, if we need to do the Phase 3.2 expansion, and that's a smaller amount of dollars, like we estimate around $30 million to do that. We would do it provided we've got financing in place. And as you know, we've got the CapEx, it's a line we've not used yet in China from the local banks. So the biggest project, and it's highly contingent on that financing, is doing Clarksville Phase 1A. Operating-wise, we're self-funded in China, self-funded in Germany. Germany's got a very strong position with its customers in terms of backlog,' increasing sales. And it's not an expensive operating base to run. We've got to be quite careful in the U.S., and depending on where we get to in terms of that total financing solution for the U.S., we're going to have to be quite prudent in how we manage U.S. operations going forward.
Sean Milligan: Okay. So right now, as it stands, that Phase 3.2 in China, is that going forward or not?
Craig Webster: Currently, we'll put 3.2 on hold. We've still got plenty of decent yes, plenty of decent growth opportunities in China without that.
Sean Milligan: Okay. Thank you.
Operator: Thank you. Our next question comes from the line of Derek Soderberg of Cantor Fitzgerald. Your line is open, Derek.
Derek Soderberg: Yes, hi guys. Thanks for taking the questions. On gross margin, guidance 20%, 25%, really good number there. Curious what's driving that. Can you talk a bit about who's your utilization today and kind of where that's going to move throughout the year?' And maybe if you could just kind of frame, gross margin directionally from there, how we should sort of move throughout the year, that'd be helpful? Thanks.
Craig Webster: Mr. Yang, do you want me to take that one?
Yang Wu: Go ahead. You can answer his questions. Okay.
Craig Webster: Okay. Okay. Sure. Okay. Thanks. Derek, you're right. Really - a really solid year for us in terms of gross margin business fundamentals. We know the news on liquidity in the U.S. is not great, but we feel we've got solutions for that. And the business fundamentals lend into it, right? So, we've just grown revenue 50%. We really expanded the gross margin line, and we really managed our OpEx. And remember, we're a global business. So compare our OpEx to other people that are trying to launch a sort of new technology battery business, right? As a global operation, we've managed that pretty well. Gross margin expansion really came down to higher sales always helps. So higher sales, better pricing on our raw materials, and yields been really good across the three phases, Phase 1, 2, and 3. And then raw material prices have helped as well. So that's been the real contribution there. As we look out this year, I think we're going to see good utilization on all lines, Phase 1, 2, and 3. And Phase 3 is 53.5, because they're going to be delivering to all regions, China, Asia Pacific, Europe, and the U.S. So, we'd expect this year, to be able to hold gross margin at 20% to 25%. And then it will just come down to, if we're really accelerating Clarksville again, then there will be some push up on OpEx. But if we don't do that, we will be managing OpEx not far from where it's currently at.
Derek Soderberg: Got it. That's helpful. And then just related to sort of a previous question, just wanted to clarify some things. With the OpEx management here, is there sort of a revenue run rate you would need to get to reach profitability? Could you share that with us? And then just to clarify, it sounds like APAC, is going to be profitable this year. What about EMEA and the broader business? If you can kind of relate that back to the revenue run rate you would need to get to, for profitability, that'd be helpful? Thanks.
Craig Webster: Sure. So APAC had consistent profitability the whole year, '23. We'd expect that to continue into '24. EMEA, if it can deliver the volumes that we're expecting, so a decent growth year, would be very close to break-even. The Q4 numbers are quite illustrative of what it needs to take, to get close to break-even. So probably when we're at a sort of 150 run rate revenue per quarter, we're going to be very close to break-even.
Derek Soderberg: Got it. Really appreciate it. Thanks, guys.
Operator: Thank you. I would now like to turn the conference back to Yang Wu for closing remarks. Sir?
Yang Wu: Okay. Thank you all for joining us today. Look forward to updating you on our progress again soon for the first quarter of 2024, along with additional operational updates and guidance for the rest of the year. Thank you.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.